Operator: Good morning and welcome to the Analog Devices first quarter fiscal year 2025 earnings conference call, which is being audio webcast via telephone and over the web. I'd now like to introduce your host for today's call, Mr. Michael Lucarelli, Vice President of Investor Relations and Division Controller of Data Center, Energy, Power. Sir, the floor is yours.
Michael Lucarelli: Thank you, Daniel, and good morning, everybody. Thanks for joining our first quarter fiscal 2025 conference call. With me on the call today are ADI's CEO, Vincent Roche, and ADI's CFO, Richard Puccio. When you missed the release, you can find it and the link financial schedules at investor.analog.com. Onto disclosures. Information we're about to discuss includes forward-looking statements, which are subject to certain risks and uncertainties as further described in earnings release and other periodic reports and other materials filed with the SEC. Actual results could differ materially from this forward-looking information as these statements reflect our expectations only at the date of this call. We undertake no obligation to update these statements except as required by law. Governance to gross margin, operating non-operating expenses, operating margin, tax rate, EPS, and free cash flow in our comments today will be on a non-GAAP basis. These exclude special items. When comparing our results to historical performance, special items are also excluded from prior periods. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures and additional information about our non-GAAP measures are included in today's earnings release. All references to earnings per share are on a fully diluted basis. And with that, I'll turn it over to ADI's CEO, Vincent Roche.
Vincent Roche: Thanks very much, Mike, and a very good morning to you all. First quarter revenue, profitability, and earnings per share all finished above the midpoint of our outlook. And while we continue to operate in a challenging macro and geopolitical environment, our first quarter results and outlook for double-digit year-over-year growth in our second quarter build my confidence that 2025 will be a year of growth. Our track record of resilience and profitability through cycles combined with our strong balance sheet supports our long-standing robust capital return program. I'm delighted to share that we've increased our dividend for the twenty-first consecutive year and that over just the past five years, we have returned more than $16 billion or roughly 15% of our current market cap to shareholders through dividends and share repurchases. Turning now to our operating environment, the magnitude and duration of this most recent semiconductor cycle has surprised many of us. But we believe ADI has entered and is well-positioned for sustained recovery. Throughout the cycle, we invested diligently to enhance and leverage our hybrid manufacturing model to support the dynamic needs of our customers both big and small. We work closely with our customers to be responsive to their evolving business needs back. Factory starts to true end demand. As a result, inventory levels have largely normalized and our partnership approach with our customers throughout the volatility of the past several years has enabled us to balance supply and real demand. While the macro backdrop will continue to influence the pace of our recovery, the signals we monitor from lean channel inventories to gradual bookings improvements over the past eighteen months support our view that we've passed the cyclical trough and the tide has turned in our favor. Throughout the cycle, we've been busily deepening our customer engagements and accelerating our pipeline growth and conversion. Many of the design wins I've shared on recent calls are now contributing to growth. And let me give you some examples. For example, in industrial automation, the shift towards decentralized intelligence enabling modular manufacturing is driving significant growth in software-defined connectivity solutions. Our software-configurable IO products at double channel density and reduced power consumption by 40% have been installed across all major automation suppliers. Revenue from these wins has begun ramping as the automation market begins to recover and will provide a durable revenue stream over the next decade. Within the growing surgical robotics segment, increasing levels of content from across our portfolio and in particular, our high precision solutions are being deployed in next-generation surgical systems. Additionally, in healthcare, the growing interest in a data-driven approach to health and wellness is creating a convergence of the clinical and consumer markets and driving demand for higher performance vital signs monitoring in consumer wearables. Our suite of high-performance sensors, signal chains, and efficient power solutions and wins at leaders in these markets position us for double-digit growth this year. Within the automatic testing equipment market, the growth of AI has significantly increased our signal chain and power content, in some cases, up to 300% across memory test systems. Customers are leveraging our solutions to increase channel density and throughput while reducing power demands by up to 30%. In light of increased hyperscaler CapEx, we expect our 2025 memory and high-performance compute test revenue to achieve strong growth. In our broad aerospace and defense portfolio, our modules which support ASPs often into the hundreds of thousands of dollars, are expected to lead double-digit growth in this industrial subsector in 2025. In addition, we're anticipating growth this year from newer design wins in RF and power, in the military and commercial satellite sectors. In automotive, the convergence of trends ranging from autonomy to electrification and immersive in-cabin experiences continue to drive robust demand for many of our solutions. For example, our GMSL portfolio is outpacing the growth of advanced driver assistance systems and is positioned to reach yet another record-breaking year in 2025. Since acquiring this video connectivity technology in 2021, our revenue has nearly tripled. We're also anticipating growth in our connectivity and functionally safe power franchises, which share similar growth trajectories. Lastly, in electric vehicles, BMS is poised to return to growth in 2025 after a challenging prior year. Part of this growth is coming from our higher content wireless solution with key OEMs ramping in America and Europe. In communications, our growth is predominantly being driven by robust CapEx investments to support AI infrastructure build-outs. Our high precision electro-optical controller is now shipping in a 1.6 terabit optical module for AI systems based on industry-leading GPUs. On the power side of the data center, we're delivering high voltage power path protection systems which are on a strong growth trajectory, and we'll begin shipping our vertical power solutions later in this year. Finally, in consumer, design wins secured in recent years have multiple customers across numerous including premium handsets, hearables, wearables, and gaming systems, begun to drive robust diversified growth in the second half of fiscal 2024. With even more content in upcoming launches, we expect a strong year ahead and beyond in consumer. Collectively, we anticipate these combined cyclical and idiosyncratic trends to return us to a solid growth path this year. So in closing, the relatively favorable position in which we find ourselves coming out of one of the worst downturns the industry has ever experienced is not by chance but rather a reflection of our fiscal and operational discipline, commitment to the success of our customers, and our investments for the long term. And while I'm excited about our prospects for 2025, I'm even more excited about the longer-term opportunities across numerous concurrent secular growth areas including automation, digital healthcare, electrification, automotive data center, and many, many more. A common request from our customers across our many diversified applications is that we help them tame the increasing complexity by bringing more complete solutions to them. A reflection of our robust technology stack and stellar customer reputation. In stepping up to our customer's challenge, we continue to push the edges by investing vigorously in our world-class analog mixed signal and power portfolios, and integrate higher levels of supporting digital and software into our solutions to meet our customers at the application layer. And so with that, I'd like to pass the call over to Rich.
Richard Puccio: Thank you, Vince, and let me add my welcome to our first quarter earnings call. First quarter revenue of $2.42 billion came in above the midpoint of our outlook for a 1% sequential decrease and a 4% decline year over year. Adjusting for the extra week in our fiscal Q1 2024, however, our Q1 2025 performance represents a 4% increase in our first year-over-year growth since Q2 of 2023. Industrial represented 44% of our first quarter revenue, finishing up 1% sequentially. The improved customer inventory backdrop is benefiting each of our industry segments. In addition, we are seeing stronger demand in our automatic test and aerospace and defense businesses, each of which were up year over year. Automotive represented 30% of quarterly revenue, finishing up 2% sequentially. Our leading connectivity and functionally safe power solutions were each up double digits year over year once again, reflecting secular content growth and greater share position. Communications represented 12% of quarterly revenue, finishing up 6% sequentially. Wireline, which makes up roughly two-thirds of our total communications business, was up double-digit sequentially and year over year, driven by data center infrastructure build-outs fueled by AI demand. Conversely, our wireless revenue continues to see demand challenges. And lastly, consumer represented 13% of quarterly revenue, finishing down 15% sequentially reflecting seasonal late. Our second consecutive quarter of robust year-over-year growth reflects our greater share and stronger content position across a diversified list of applications. Now on to the rest of the P&L. First quarter gross margin was 68.8%, up 90 basis points sequentially driven by favorable product mix. OpEx in the quarter was $687 million, up $32 million sequentially resulting in an operating margin of 40.5%. All told, non-operating expenses finished at $58 million and the tax rate for the quarter was 11.8%. All told, adjusted EPS was $1.63, at the high end of our guided range. Now, I'd like to highlight a few items from our balance sheet and cash flow statements. Cash and short-term investments finished the quarter at $2.7 billion and our net leverage ratio decreased to 1.1. Inventory increased $27 million sequentially as we replenish the die bank of our fastest turning products. Days of inventory increased to 176 while channel weeks moved lower and remained below our target of seven to eight weeks. The trailing twelve months, operating cash flow and CapEx were $3.8 billion and $656 million respectively. We continue to expect CapEx for fiscal 2025 to decrease from 2024 and fall within our long-term model of 4% to 6% of revenue. Free cash flow over the trailing twelve months was $3.2 billion or 34% of revenue. And during the same time period, we have returned more than $2.4 billion to shareholders through dividends and share repurchases. As a reminder, we target 100% free cash flow return over the long term using 40% to 60% for our dividend, with the remainder used for share count reduction. As Vince mentioned, we announced an 8% increase to our quarterly dividend to $0.99 from $0.92. In addition, our board is authorizing an incremental $10 billion for share repurchases resulting in roughly $11.5 billion of remaining buyback potential under our current program. Moving on to guidance. Second quarter revenue is expected to be $2.5 billion plus or minus $100 million. On a sequential basis, at the midpoint, we expect industrial to lead our growth and automotive to grow, while communications and consumer decline. Operating margin is expected to be 40.5% plus or minus 100 basis points flat sequentially due to a notable uptick in variable compensation. Our tax rate is expected to be 11% to 13% and based on these inputs adjusted EPS is expected to be $1.68 plus or minus $0.10. Before passing it back to Mike to begin our Q&A session, I'd like to address the near-term backdrop. Overall, our business continues to improve off our Q2 2024 trough in what continues to be an uncertain macro environment. We saw further order improvement and a positive book to bill during Q1. Importantly, booking strength was driven by industrial and automotive, our two largest end markets. Given this trend and the exciting product cycles Vince described, I'm confident we will return to long-term model growth in 2025 and believe we are well-positioned to capture additional upside should macro conditions improve. To you, Mike.
Michael Lucarelli: Thanks, Rich. Get to the Q&A session. We ask that you limit yourself to one question in order to allow for additional participants on the call this morning. If you have follow-up questions, please re-queue and locate your question if time allows. With that, we are ready for the first question, please.
Operator: If you have a question, for those participating by telephone dialing, please press star one one on your phone to enter the queue. If your question has been answered and you wish to be removed from the queue, please press star one one again. If you're listening on a speakerphone, please pick up the handset when asking your question. We'll pause for just a moment to compile the Q&A roster. Our first question comes from Joseph Moore with Morgan Stanley. Your line is open.
Joseph Moore: Great. Thank you. Wanted you to talk about the puts and takes in the auto market. You know, China seems to be the strongest region. Can you talk about how that affects you guys if there is an ongoing shift in the center of gravity towards China? Does that have any impact on pricing, margin, or potential for you guys?
Richard Puccio: Sure. Joe, I'll take that one. This is Rich. Let me give you a little color on what we're seeing in auto. Starting with Q1, you know, revenue came in better than expected driven by Asia, which we've talked about, you know, continued strength in China. As we've talked about in our recent calls, we have flagged that we have stronger share and content position at major Chinese EV OEMs with multiple products, again, including our audio and video connectivity solutions, functionally safe power, and BMS. This is coming through in results and we expect it to continue into Q2. As for the impact of a change in center, you know, we continue to see strong results right from a, you know, three straight quarters of double-digit growth in China being led by auto. In addition, and what we can talk about this, we've seen growth in the other parts of the China business, but the auto is continuing to lead.
Vincent Roche: I've been saying for a long time, Joe, that as long as there is a market for high-performance technologies, that ADI's technologies would continue to be relevant and that is the case. We see it in automotive. We see it in the industrial sector. And, you know, we're getting well paid for the quality of the technologies that we're bringing. So you know, it's clearly a competitive market particularly at the kind of middle low ends. With indigenous suppliers coming on stream. But given the high-performance trust in our portfolio, we were getting rewarded for the capabilities that we bring at the system level for our customers.
Joseph Moore: Thanks, John. Thank you.
Operator: Thank you. Our next question comes from Vivek Arya with Bank of America Securities. Your line is open.
Vivek Arya: Thanks for taking my question. Rich, just to clarify, what is long-term model growth that you expect to return to this year? And then, Vince, my question is for you. You mentioned that the inventory levels have largely normalized. Is that at distributors? Is that at OEMs? Also, does it apply to all end markets or mostly to industrial? Basically, how does that inform us about how ADI can, you know, feel about demand visibility and growth over the next handful of quarters?
Vincent Roche: Thank you. Yeah. Maybe I can take the second part of the question first, Vivek. So we are seeing the normalization across the direct as well as distribution channels. And in pretty much every part of our business, including we were very, very encouraged by the recovery in industrial bookings. And that's a very, very important part of ADI's businesses. At its peak, it was a little over 50% of the total ADI revenue stream. So we're seeing monitor also, by the way, customer inventories. Our top customers. So we see normalization across segments, across customers, both big and small. We've also, by the way, kind of a bellwether for the general base of customers, you know, outside the top few hundreds, would be our mass market or a broad market. We've also started to see recovery there.
Richard Puccio: Yeah. And it's an Vivek, when I talk about the long-term model, I'm talking about the published range at 7% to 10%. Although, I think as we've talked about as the macros turn, I think there's opportunity for us to capture even more growth than that. I think your one part, three-part question, Vivek, talked about what we think from here, a kind of growth back half of this year. I think we knew that is how do you think about seasonality as you get to Q3 and Q4. Again, this is not guidance for Q3, but I'll give you kind of what we see as trends. Typically, our last ten years for our third quarter, you know, our third quarter industrial auto and comp are usually flat plus or minus a little depending on where you're on the cycle. Given what Vince was saying about industry normalizing, new wins coming on, I think those markets should be flat up. So I think the higher end of what normal seasonality is, for those businesses. On the consumer side, we typically start your holiday build which means you start growing 5% to 10% in Q3. Now, obviously a lot of macro crosscurrents. It's really like the cocktail out there on the macro side, which could be a second half. We'll update you in ninety days what we really think about Q3. Your next question, please?
Operator: Thank you. Our next question comes from Tore Svanberg with Stifel. Your line is open.
Tore Svanberg: Yes. Thank you. I had a question for you then. You know, ADI is in a pretty unique position because of your hybrid manufacturing model. And I was just wondering, you know, given all the political turmoil, the geopolitical turmoil that's going on right now, how are you thinking strategically about that hybrid model because obviously, you know, you're working with a very important partner in Asia, but then obviously also do some of your own internal manufacturing. So yeah, how are you thinking about how this is gonna play out in the next few years?
Vincent Roche: Thanks, Tore. Well, I think in times of great turbulence, diversity is a great benefit. Diversity of markets, diversity of products, diversity of customers and geographies. So I think, you know, I feel good in terms of our ability with that diversity to solve two problems essentially. One is diversity gives us optionality. But it also gives us resiliency. And, you know, by the kind of end of 2026 and the early 2027, we will have secured at least dual sourcing for the entire product chain of ADI. So about 95% of the products, you know, we'll have at least dual sources. And, you know, we've obviously desensitized geographic centricity over the last few years. We've invested in our fabs internally in America, in Europe, and we've worked with our partners as well to get at least two geographical sources for the products that we procure from our partners externally. So I think, you know, we're in a good position as a company to make sure that, you know, overall, we've internally got twice the capacity we had at the start of the pandemic. And as I said, we've secured also additional supply in new sources, new fabs, with existing partners. So I think we're in a very, very good position to weather whatever turbulence might come our direction.
Tore Svanberg: That's great color. Thank you, Vince.
Richard Puccio: Thanks, Tore.
Operator: Thank you. Our next question comes from Chris Danley with Citi. Your line is open.
Chris Danley: Hey, thanks guys. I guess just to dig into the industrial strength. Can you just talk about where that's coming from? Is this mostly inventory replenishment? Is it mostly improved demand? Is it both? And then, you know, how did bookings trend during the quarter? Was the linearity pretty steady, or was there a spike? Or just a little more color there would be great. Thanks.
Richard Puccio: Sure, Chris. I'll jump in on that. So on the industrial, if we take a step back, you know, we've grown this business now sequentially for three straight quarters. Off of what we said was our trough in Q2. And then as for Q2, we actually expect industrial to be the fastest growing market. So we feel pretty good that our recovery is taking shape. And really could accelerate if the macro improves. For Q1 specifically, and we've talked about this in a couple of quarters, we saw continued strength in ADA and in the automatic test equipment, and then what we started to see from a positive perspective is stabilization across automation, healthcare, and energy, which I think has been important. And then in Q1, one of the things that we've talked a bunch about on prior calls is watching for the pickup in the broad market. We started to see some of that. In fact, the pickup in the broad market drove much of the upside relative to our initial expectations, which gives us confidence to begin shipping in line with end demand. So if you think about, you know, we've talked about in prior calls that, you know, we took a significant amount of inventory out of the channel during 2024, about $300 million. Most of that impacted the industrial market. So as we look at our growth trajectory, shipping more to sell through into the channel, will be a tailwind for industrial as well.
Vincent Roche: Yeah. As you know, the industrial sector is largely served through the distribution channels. So you know, with leanness there, demand recovering, I think both of those two concurrent streams are tailwinds for the business.
Richard Puccio: Yeah. On the booking side, bookings have improved in industrial in Q1 versus Q4. Pretty much across all the areas with the biggest strength obviously in ATE and ADA as we talked about. And we think it'd also be our fastest growth market in Q2, and that's supported by the bookings. Thanks, Chris.
Operator: Thank you. Our next question comes from Joshua Buchalter with TD Cowen. Your line is open.
Joshua Buchalter: Hey, guys. Thank you for taking my question. I wanted to follow-up on the previous one. I think you mentioned in the prepared remarks inventory levels in the channel moved down and I think they entered the quarter already below your seven to eight weeks target. Does either the April quarter guidance or the fiscal 2025 initial outlook of being in your target range include any sort of channel refill and I guess what signals do you guys need to see before you would wanna more clearly get back into that seven to eight week range? Thank you.
Richard Puccio: Yeah. So go ahead. So the current guide for Q2 has us shipping to sell through, so not adding into the channel. And I'll tell you for me for the benchmark and we talk to our distribution partners pretty regularly is if we're fulfilling customer requirements and we're not getting any escalations, we're feeling pretty comfortable right now operating below the seven weeks seven to eight weeks we've had historically. You know, balance that out, we're carrying a bit more inventory on our own books, which gives us some flexibility particularly given the amount of the inventory we're carrying in DieBank. Which allows us to be quicker to respond. So near to medium term, I don't expect that we would be adding back to the channel but we certainly do not wanna go any lower.
Vincent Roche: Yeah. I think just to add a bit of color to what Richard said as well, the centralization of inventory management I think, has served our customers very well. Customers of all sizes over the past what is essentially now five years of this of the old cycle. So we'll continue doing that, and that will be a critical guide as we think about how we modulate, you know, channel inventories over time.
Joshua Buchalter: Very helpful, caller. Thank you. And congrats on the results in the cocktail of uncertainty.
Vincent Roche: Thank you.
Operator: Our next question comes from Christopher Rollin with Susquehanna. Your line is open.
Christopher Rollin: Hey, guys. Thank you for the question. Mine is around two very specific opportunities that you've talked about in the past. One is optical connectivity, and then the other is AI power. If you have any developments in those products or markets, would love to know those, or maybe it's just playing out like you thought it would. But we'd love to know how interest orders, etcetera, are going for those products.
Vincent Roche: Yeah. Thank you. Well, I'd say first and foremost, our opportunity pipeline has been growing steadily in this AI-driven infrastructure world. And, you know, we've been a long-term player in this electro-optical interface category, you know, where we provide these very precise high compute throughput control systems for stabilizing the electro-optical modems. And, you know, we've just introduced our 1.6 terabit which is very much the benchmark for throughput in these systems today, of course, those speeds will continue to increase. The sophistication of what we build will continue to grow as well. So that's been a very good business, a high growth business for ADI for many, many years, and it predates the AI build-out of the IT build-out AI infrastructure. Our power technologies really straddle two different areas. One is, if you like, the power control systems that are important for the overall operation of a data center at kind of the board level, the server level. And the other is, and a good example, by the way, of that power control will be these hot swapping reset generators and so on. These very, very tough analog problems need to be solved. The second part of the power story is the delivery of energy to the GPUs, the chip systems themselves. And, we're going to production in the second half of this year, with the vertical power technique with one of the big hyperscalers. And we have other designs in train that will come on stream as well, I believe, in the 2026 period.
Christopher Rollin: Fantastic color there. Thank you so much. And maybe just kind of playing into these kind of new products that are emerging here. Are there any new other new products to call out? New customers? New end markets, any of these kind of free options, as I like to call them, that are emerging for your company. And anything you can point to, anything new that maybe you haven't had before any new opportunities?
Vincent Roche: It depends on, you know, how far into the future you want to go, but, you know, let me give you a couple of real-time examples here. I mentioned in the prepared remarks the convergence of wellness-based healthcare solutions with the consumer sector. We see that the interest in building those systems out is becoming, I would say, very, very active. We're well-positioned as a company because we've been building the sensory and signal processing technologies for a long, long time. So I would call that out as an area with a good spectrum of customers across many geographies. And many, many different types of healthcare modalities that need to be measured at the clinical grade level in incidentally, areas like continuous glucose monitoring. Being able to do that in a closed-loop system, both the input and the output. So I think that is an area that we're excited about, but we've a lot of good technologies that are being deployed at faster rates into that area. And if you want to go really into the future, you know, there is light beginning to appear in the whole quantum computing world, and we're at the early stages of building control systems, if you like. Precision control systems for these very, very complex computing elements.
Christopher Rollin: Very cool. Thank you so much.
Michael Lucarelli: Hey, Chris. As a reminder, if there's any additional questions from people who've asked questions, please re-queue your some extra time. Otherwise, we'll go to our next question.
Operator: Thank you. Our next question comes from Harsh Kumar with Piper Sandler. Your line is open.
Harsh Kumar: Yeah. Hey, guys. I just wanted to hit up on the quote-unquote call for the bottom. I guess you're calling that. Guess what is the confidence level that this is not a head fake? I know you're talking about increased orders and normalization of inventory, but there's a lot of geopolitical movement. There's a lot of tariffs. Help us understand why the confidence level is so high that we've reached the bottom and this isn't just some kind of headache. Thank you.
Vincent Roche: Well, I think, you know, first and foremost, we have a lot of conversations with a lot of customers. You know, we've tens of thousands of customers in our portfolio. We pay attention to the signal that matters to us most is sell-through. So POS is how we, that's where we focus and that POS signal is how we plan our supply at ADI, how we run our business and run our supply system. So that's first and foremost. I think, you know, we are seeing the stabilization in the business and growth in certain areas right across the spectrum. And then there is geographically, there is a diversity of progress as well. I'd say Japan is most muted. America and China are strongest. I would say Asia Pacific is strong, and Europe is somewhere between, you know, between where Japan is and where the rest are. So but that's essentially how we view the work. As we said in the prepared remarks, what's incalculable here in our thinking is the effect of any potential geopolitical turmoil, trade war, and so on and so forth. So that I think, will be the governor ultimately. During this year as to the rate of recovery. But I have a strong conviction that in a new cycle in the semi sector uncertainty in aviation business.
Harsh Kumar: Thank you for the color. Thanks.
Michael Lucarelli: Thanks, Harshal. I'm going to our last question, please.
Operator: Thank you. Our next question comes from Tore Svanberg with Stifel. Your line is open.
Tore Svanberg: Yeah. I just had a follow-up on the, you know, conviction in growth there. You know, typically, when we go through these cycles, I think customers, they sort of hold off buying new products on sort of the older products have cleared out. And I'm just wondering if there's some of that going on. I mean, I guess that really relates to your win conversion rate. So, you know, any comments you can make on that conversion rate really starting to play out would be really helpful. Thank you.
Vincent Roche: Yeah. Well, for example, Tore, the strength we're seeing in ATE markets, in the automotive market, for example, in areas like new data center modalities. Those areas are largely driven by a lot of new products. So I would say, there's three examples of where new products are making a huge difference. In fact, they're also with each new generation, we're capturing more ASPs. So, you know, we've often shared with you our famous vintage chart which shows the age of the portfolio. We measure very, very carefully within that vintage chart the contribution of newer products within a three and ten-year period as to what's going on. But I can tell you the conversion rate, the introduction of new parts, and the capturing of opportunity with new parts is strong. New products and new solutions. And, you know, obviously, we've got also a very strong franchise. Our legacy products tend to get pulled by these new anchor products that we're building. I'd say overall, I'm pleased with the effectiveness of our R&D spends and how we're capturing and creating new markets and new applications.
Tore Svanberg: Very helpful. Thank you.
Operator: Thank you. I'm showing no further questions at this time.
Michael Lucarelli: Alright. No problem. I think we answered all the questions then. Thanks, everyone, for joining us this morning. A copy of the transcript will be available on our website. Thanks for joining and your continued interest in Analog Devices.
Operator: This concludes today's Analog Devices conference call. You may now disconnect.